Operator: Good afternoon, and welcome to Iren Q1 2024 Conference. My name is Zach and I will be your moderator for today's event. [Operator Instructions]. I will now give the floor to your host, Giulio Domma, Head of Investor Relations, to start today's financial call. And I wish you a good listen. 
Giulio Domma: [Interpreted] Good afternoon, everybody. Thanks for joining us in this conference call to present Iren Group results Q1 2024 results. And the results will be presented by the Executive Chairman, Luca Fabbro; and by the CFO, Giovanni Gazza. At the end of the presentation, as usual, there will be a Q&A session. I will now give the floor to Luca to present the results of the period. 
Luca Fabbro: [Interpreted] Thanks, Giulio. Good afternoon, everybody. The Board of Directors has just booked the results of Q1 2024 which show an EBITDA growing by 4%, which is mainly due to the adjustment in regulatory parameters for distribution network activities and to the full recovery of margins in electricity sales, thanks to our effective commercial strategy. Net financial debt was kept under control and was down by 1% compared to the figure end of 2023. Capital expenditure in excess of EUR 180 million, which is slightly lower if compared to Q1 2023 was fully financed by cash generation, which also benefited from the sale of Superbonus DTAs.
 The first months of 2024 have been particularly significant as we have achieved industrial milestones that allow us to proceed along the growth path outlined in the business plan. I am referring in particular to the issue of the fifth green bond for EUR 500 million with an oversubscription of about 10-fold to cover the maturity of the traditional bond scheduled in November. Second, the word of 2 tenders in waste management in Asti and Kona in our reference territories with a total of almost 170 municipalities, which allow us important synergies with investees such as Asp in Asti and future investees, such as EGEA.
 Third, the awarding of the tender for integrated water service in the province of Piacenza until 2040, confirming us as a manager in a territory with almost 300,000 inhabitants. Fourth, the signing for EGEA Alba multi utility. As you know, if everything goes right and if the court will approve when visit the closing before summer 2024, strengthened by the progress of the growth plan. We have improved the guidance that we will then see in detail at the end of the call due to the higher hydro volumes in the first months of this year to the heavy rainfalls that have contributed and consequently to a better outlook throughout the year.
 Let's now look at Page 3 of the presentation. We review the main ESG indicators that show that also in Q1, the group continued its path of sustainable growth outlined in our business plan with several indicators ahead of the set targets. Also, thanks to approximately 71% of investments made with a sustainability profile. Regarding the green transition, it is important to highlight the achievement of almost 72% separate waste collection in our historical territories and a 14% increase compared to Q1 2023 in the material recovered from our waste treatment plants, also thanks to the investments made in district plans. And finally, also in this quarter, carbon intensity has remained essentially in line with last year and with the business plan for costs.
 Compared to last year, Iren's presence in the territory was also strengthened to the increase in the number of municipalities where the group is active in waste collection to the extension of the district heating network and to the increase in the number of inhabitants served by our integrated water service finally. Also with regard to the service quality, the newly approved results showed a 12% increase in renewable energy sold to customers and the achievement of 71% of districted water network. 
 Moving on to Slide 4, we can see the main economic and financial indicators in this period. EBITDA for the first quarter was EUR 383 million, 4% increase year-on-year. Although the period was characterized by sharply declining energy prices compared to 2023. Energy price dynamics were the main reason for the decline in revenues for all operators, which more than offset the increase in sold volumes and the group's extension.
 Among the factors supporting growth, we can mention, first, the update in regulatory parameters for the networks, which has had a positive impact on the increase in the rate of return on investment capital. The [indiscernible], the recovery of inflation on operating costs in regulated revenues. Second, the continuous improvement in market margins due to the adjustment of the commercial strategy with increased weight of variable price contracts. Three, higher hydroelectric production volumes due to the heavy snow falls in this period, as we said earlier.
 On the other hand, the negative elements that have characterized this period were: one, the continued decrease in energy prices and the persistent weakness of the MSD market not only for Iren but nationwide, of course; 2, the temporary and availability of the WT plant in Turin for maintenance activities on the turbine and the generator alternator; 3, the lower contribution from energy efficiency activities for the completion of energy upgrading works supported by the 110 Superbonus tax incentives. It is important to highlight that net of the lower contribution from energy efficiency activities for EUR 11 million recorded in the energy business unit.
 The profitability of the integrated energy supply chain is substantially in line with last year's result as the lower profitability of cogeneration plants was offset by the growth in margins for electricity customers, confirming the strong resilience of Iren's overall portfolio with respect to the energy scenario. Finally, in short, EBIT is in line with the previous year due to higher depreciations and amortizations while net profit is temporarily down due to the lower tax rate in 2023. I now hand over to Giovanni, who will deep dive into the business dynamics. 
Giovanni Gazza: [Interpreted] Good afternoon, Luc. Let's take a closer look at the results of each business unit, starting with the Network BU on Slide 5, which reports an important EBITDA growth, plus 30% because of adjustment of parameters, about EUR 17 million and organic growth, about EUR 5 million, the latter linked to the growth of investments made in the past few years. Also reported during the quarter is the EUR 9 million related to the extraordinary recovery of inflation on operating costs in 2023, an item which has been consolidated. This EUR 9 million item is of extraordinary or nature. Therefore, it will not recur in coming quarters. 
 Another positive element in the water service is the EUR 3 million contribution from Acquaenna company consolidated starting on June 2022. Analyzing the charts on the right, we see that investments continued substantially in line with last year and with the development assumptions in our business plan, while the almost EUR 300 million growth in RAB plus 11% compared to 2023 that you see in the lower part on the right-hand side was achieved, thanks to the contribution on an essentially equal basis of the significant investments made in past years and the regulatory revaluation, which, as you know, is linked to the deflator and has increased the tariff RAB.
 Turning to Page 6. We find the waste business unit reporting a first quarter in line with the same period last year. The positive growth in collection activities due to the recurring tariffs of the cost increase was linked to inflation and also to greater efficiencies in operations. This increase is completely offset by the decrease in treatment and disposal activities, most notably the decline in the margin of treatment and disposal activities is due to the worsening energy scenario with a negative effect on the sale prices, both for electricity and for biomethane, which is produced by our organic waste treatment plants and also unavailability of some plants, in particular, the waste to energy of Turin has suffered a shut down for planned multiyear maintenance activities on the turbine and alternator for power generation. And this has led to a negative effect of about minus EUR 5 million. Then the not yet full contribution from new waste treatment and material recovery plans, this is due to the prolonged start-up phases that have led to continuing start-up costs and also to failure to reach full volumes.
 Lastly, the depletion of the available capacity of some landfills. That's something we had already commented when presenting year-end 2023 results. This has led to a reduction in the volumes of nonmunicipal ways to manage by around 11%, a deviation, which is also visible in the chart in the lower part on the right-hand side. On this front, looking at landfills, we would like to draw your attention to the fact that there are authorization processes underway. They are in a rather advanced state. So we can assume that already in 2025, we will then have additional volumes available to us, partially mitigating the decrease in treatment and disposal activities is the consolidation as of January 1 of CNB, and they're contributing with EUR 3 million.
 As to investments, the temporary decline compared to the previous year is due to the fact that in 2023, we completed the construction of major treatment plans, while in Q1, we don't have fully started the construction works of the new plants that are included in our business plan. It's worth highlighting that by year-end that we expect to recover margins from treatment and disposal of waste, thanks to the new plants, which in Q1 have been affected by start-up activities, they will start operating gradually. And there was also -- there will also be absence of further shutdowns for scheduled maintenance.
 Let's move on to Page 7. We see the dynamics that led the energy BU to reach an EBITDA of EUR 90 million, down from previous year. Renewable energies, hydroelectric and solar energy posted a result which is in line with last year as the higher hydroelectric production volumes, about 85 gigawatt hours more were offset by the decrease in electricity prices, an average revenue of more than EUR 110 per megawatt hour was achieved in the quarter, also thanks to hedging activities that the group has continued to implement district heating, despite an increase in the volume of heat distributed, this increase is due to larger volumes and investments made in 2023 has recorded decrease in margins by about EUR 5 million caused by a reduction in sales tariffs that, as we know, are indexed to the gas price.
 Turning to the analysis of CCGT plants and also thermoelectric plants and our cogeneration plants. There is a negative result of almost EUR 30 million, which is attributable to a strong decrease in clean spark spreads and also to fewer opportunities on the MSD market. So EUR 6 million versus EUR 8 million last year, a decrease which was also highlighted by a nationwide results on the MSD market as a whole. So this has also affected other operators.
 In particular, in winter, our CCGT plants that are used for heat cogeneration, have limited flexibility in producing gradually less electricity. They are less modular because they need to produce heat and thermal energy. And therefore, they have realized the less favorable clean spark spreads than last year. The Turbigo thermoelectric plant merchant -- fully merchant plan has produced energy to meet the demand of our end users of the market, BU, in an integrated supply chain logic with a dynamic that is well highlighted in the next slide by the positive results in the sale of electricity as we will see when commenting the market BU.
 Finally, energy efficiency activities reported a decreasing result by EUR 11 million in this quarter due to the completion of innovation works mainly related to the end of the 110 Superbonus tax incentive, which has, of course, reduced this opportunity to have margins and revenues. Last, business unit market. It is immediately visible in this chart on the left has a very positive result is linked to the full recovery of a portfolio value for electricity customers with plus EUR 29 million.
 In the first quarter 2024, the positive result is referring to the completion and alignment to the market of the new commercial strategy for our retail customers. The customer base has remained stable compared to end of 2023. Today, the portfolio includes almost 2.2 million customers with the prevalence of electricity customers where the growth trend continues. And in the future, in the next few months, starting from midyear, this will also be fueled by customers acquiring in the tenders for liberalization of the protected market with a net balance between seeded and acquired customers of about EUR 260,000.
 The increasing trend in electricity volumes is positively affected by larger volumes sold to wholesalers while gas volumes sold are decreasing. This is affected by the decrease in the total number of end customers being served and also to decreasing consumption per head. Finally, we report growth in the sale of products and services bundled with commodities, such as insurance products and connectivity services.
 On Page 9, you can examine the items that lead from EBITDA to group net profit. So depreciation and amortization increased by EUR 15 million as a result of the investments made last year, which have come into operation. This increase is in line with the expectation for 2024 and increased amounts of approximately EUR 50 million and considers an average depreciation rate of 5% on average annual investments, which are being made by the group and which amount to approximately EUR 1 billion.
 The recently integrated companies, AcquaEnna and Sienambiente contribute an additional EUR 3 million depreciation. The average cost of debt, now moving to financial management, amounted to 2.1% versus 1.8% in Q1 2023. And it is increasing because of the increase in the stock of debt but also because of the higher rates on the variable rate part of the debt. Even though this part is quite small, the pretax result, as you can see, is in line with last year and amounts to EUR 193 million.
 Finally, the group's net profit for the period was EUR 122 million, down 10% from last year due to the increase in the tax rate, which now stands at 30.5%. On this point, let us point out that last year's tax rate was 25.3% as a result of the nontaxability of extraordinary contributions that we received under government measures to compensate for the high cost of energy.
 Moving on to the net financial position for the period on Page 10, we note that debt is positively unchanged compared to the value at the end of 2023. More specifically, the operating cash flow of EUR 193 million benefited not only from the contribution of EBITDA, of course, but also from the partial disposal of 110% super bonus DTAs, which in the period amounted to approximately EUR 72 million.
 As a reminder, by the end of the year, we expect to assign and this is a very advanced plan, a total of about EUR 250 million of a Superbonus tax receivables from previous years. Net working capital increased by approximately EUR 180 million. And of this, approximately EUR 60 million can be considered to be permanent at year-end as an effect of the energy scenario on the energy BU. The drop in energy prices generates such a negative impact on our net working capital due to the reduction in revenues from the sale of electricity on the exchange in this period, but also structurally, we have had higher production than we use for our end customers. 
 So we sell some of these electricity on the exchange. And of course, these sales is -- occurs on a weekly basis. So this leads to a deterioration in our working capital, which, as I mentioned earlier, we expect to remain also as at 31st of December 2024. The remaining EUR 120 million are considered to be temporary. So we expect them to be reabsorbed by the end of the year.
 And specifically, they relate for about EUR 60 million to the typically seasonal effect on the energy supply chain, approximately EUR 40 million relate to the waste business unit for the switch from text to fee for waste collection services. This switch has resulted in a change in the bidding frequency for municipalities. So from monthly billing to half yearly billing, another EUR 20 million relate to the networks business unit for not yet issued invoices that is invoices to be issued. So there's a stock of invoices to be issued, which is related to tariff measures, which had a positive impact on our financials but have not been built yet. Capital expenditure of EUR 184 million was fully covered by operating cash flow generation. Let me give the floor again to Luca for his closing remarks. 
Luca Fabbro: [Interpreted] Thank you, Giovanni. The results for the first few months led us to revise our year-end estimates by increasing our expectation in terms of EBITDA, which we anticipate to be in the range of EUR 1 billion -- EUR 230 million to EUR 240 million up EUR 10 million compared to the previous guidance, mainly due to the effect of the recent snowfalls and rainfalls and the consequent higher [indiscernible] production expected. In addition, we can also anticipate expectations in terms of net profit, which will be in the range of EUR 260 million to EUR 270 million at year-end, up 4% compared to last year.
 Investments will continue with a target of around EUR 1 billion, in line with last year and with the recovery in the coming months of investments in environmental in the waste and renewable sectors, which suffered a slight delay in the first quarter, which was also due to the regulations. We also confirm that we -- the NFI EBITDA ratio would remain at 3.3. That's our strong reference which cannot be changed.
 Lastly, I am pleased to announce the date for the update of the business plan on which we're working actively and which will include, in addition to a substantial confirmation of the strategic pinners, the inclusion of EGEA and the updating of the energy scenario and regulatory parameters. I would say no more on this subject, but we would be exhausted during the presentation of the plan, which is scheduled for the 24th of June. We can now move on to the Q&A session. Thank you. 
Giulio Domma: [Interpreted] Thank you very much. [Operator Instructions]. The first question is from Roberto Letizia from Equita. 
Roberto Letizia: [Interpreted] I would like to briefly ask about the key changes in terms of governance after the issues which involve [indiscernible], if you can give us an idea of what will happen in the coming weeks or when you think that the governance issue will be fixed. 
 And I would like to have some clarification on the guidance, which has included client growth of 4% against minus 10% recorded in Q1. So can you please underline the moving part, which will result in a growth in profit for the coming quarters which -- so what will be used in the coming quarters to result in an increase in income. And I would like to know the expected overall impact on the factoring activity of assignment of credits, which we mentioned shortly ago. And then I would like to have some more strategic indication. So I was wondering whether the target of 3.3x [indiscernible] EBITDA is compatible with the current dividend policy for the group. 
Luca Fabbro: [Interpreted] Well, I will answer your first and last questions. Well, as far as the governance is concerned, as you know, we -- 9 months ago, we made -- we were in a similar situation. We lost our CEO, who decided to move to a different company. And in that context, as in this context, the authorities were reassigned to the Chairman, myself and partly to the Deputy Chairman. And in this context, exactly the same thing happened. So we have a contingency plan, which is fairly well tested and the authorities for -- operational authorities and legal authorities were attributed to myself or as for procurement and information systems, they were attributed to the Deputy Chairman. So things are happening functioning regularly, as was the case when the previous CEO left the company.
 Well, in this case, the situation is different because the reasons why we do not have a CEO quite different now. But on the very day when we were told about this news on the CEO, we suspended these powers, which were given to myself and the Chairman and to the Deputy Chairman. And we are working as if there had been no real change -- well, apart from the names, the powers are exactly managed as before.
 That being stated, we are about to have a shareholders meeting in June. And on that meeting, 3 things will happen. Firstly, as you probably know, the suspended CEO. So who lost the audio? Probably somebody is working. So let me continue. So as I was saying, the CEO should have been opted again for another year until the 2025 shareholders' meeting, which marked the end of the 3-year period. And so at this stage, possibly, another person will be co-opted as CEO if the situation remains unchanged. And in that context, the shareholders' meeting may redefine the allocation of powers.
 Nevertheless, I will remain the Chairman and the Deputy Chairman will remain as a Deputy Chairman for 1 more year until the approval of the financial statements for 2024 in 2025. So in summary, the powers were reassigned 2 hours after we learned about this news. And the company is being managed as it was managed before. And let me reiterate this. This is not a new situation for us. We have already gone through this interim phase for at least 2 months. And I must say that during those 2 months in the summer of 2023, things worked out fairly well. So crossing fingers, they will work out well even today.
 Now moving on to your question #4, concerning the dividend policy and 3.3 as a ratio, we do confirm our guidance. So we do confirm 3.3 and our dividend policy. And I will now hand over to Giovanni for the answer to question #2 and #3. 
Giovanni Gazza: [Interpreted] Net profit, we assume that with presentation of the financial results, there will be a reversal of this trend because last year, we have satisfied an extraordinary provision for the clawback low degree on renewable energy sources, about EUR 41 million pretax. This is one of the main factors, which will not recur in 2024. And thanks to the growth in the EBITDA, we will then present a growing net profit, so plus 4% versus EUR 255 million at the end of 2023.
 As to charges relating to Superbonus DTAs session or sale, we assume to sell about 150 million DTAs with P&L cost of about EUR 12 million net. Thank you. 
Giulio Domma: [Interpreted] Thank you. Next question from Oriana Bastianelli, from Kairos. 
Oriana Bastianelli: [Interpreted] Good afternoon. 
Giulio Domma: [Interpreted] We can no longer hear Oriana. Let's move on to the next question then. Javier Suarez, Mediobanca. 
Javier Suarez Hernandez: [Interpreted] Good afternoon. I have some questions about the governance. I would like to focus on governance because this is a legitimate concern for investors. First, concerning the press release of May 7, temporarily revoking the powers of the CEO and reassignment of these powers. If I have understood correctly, this is a short-term solution. It can be a structural solution. The answer to the previous question was that this situation will be -- will continue until the General Shareholders Meeting next June, where a CEO can be a point. So this is my first question. The governance you have put in place envisages the short-term solution or could this solution become a long-term one.
 Second question about the business plan and the opportunity to appoint a new CEO, the -- will the company -- the company will then present a new business plan in June. So the question would then be, wouldn't it be better to wait for a new CEO to take control over the company and then present a new business plan when he has taken up full accountability and responsibility. Third question is about the CEO. Can you give us an idea of the measures that you are adopting to protect the interest of the shareholders and investors in most of all in case of wrongdoing. And then a question about the dividend policy. Can you give more granular information about the dividend policy? And last year, the dividend policy was different from the dividend policy announced in the last business plan. So it would be useful to understand what's your latest statement concerning the dividend policy. 
Luca Fabbro: [Interpreted] Thank you very much for the questions. I will answer the first 3, Giovanni will then answer the fourth one. As to the governance, which is, of course, a very central topic, you were right, the General Shareholders Meeting in June could appoint a new CEO. It has the powers to do so. Today, there is an operating leadership in the hands of the Chairman as it was in the case in summer 2023. I would like to remind you that the Chairman has previous operating experience as he has managed also companies which were also larger than Iren. So it's not something new to him.
 Having said that, for the business plan, the remarks wouldn't it be better to wait that the new CEO is appointed. The answer here is no, because the company cannot afford itself to move by start and stop phases. So I have decided to move forward. Consider that the company doesn't have a single CEO. Also when the previous year was in office, delegated powers were assigned in a uniform manner among different managers. So waiting for the new year would mean waiting for some months, and we don't want this to have a negative impact.
 Our company is extremely resilient to loss of CEOs. It has already proved to be resilient and things are proceeding just as if nothing had happened, even this is not the case for obvious reasons, you might guess. But we are moving forward. I have met the heads of the BU, the business is continuing as usual, as if nothing had happened. Third question is a very important one.
  It's about what we are doing to guarantee and protect the company from possible problems which might emerge in relation to what we have heard, so possible wrongdoing or misconduct of the suspended CEO. Well, actually, on the very same day, when we have learned about the cautionary measures, we have adopted 3 sets of initiatives. We have suspended the operating powers, the delegated powers of the CEO. So the Chairman and Deputy Chairman have absorbed these powers. We have suspended the 2 contracts that the CEO had assigned to third parties, and we have also started an internal audit to our internal audit function and our supervisory body, which is an external body.
 The Board of Directors today has resolved to strengthen this measure and to perform a parallel audit to a third party, independent big 4 players, so as to have the more holistic and complete vision as possible about what you describing, it's an assumption, of course, not a certainty of wrongdoings by the CEO. We are talking about assumptions and not certainties. And we have, therefore, applied the best practice. We couldn't do more than that. We are assessing a set of other possible initiatives, but to some extent, we just need to guarantee Iren without getting into the merit of the investigations conducted by the authorities.
 Our internal audit will only focus on the behavior and the acts of the suspended this year within Iren perimeter without getting into the merit of other topics that are not within our sphere of competence. Let me just reiterate that the CEO has been suspended. He doesn't receive any remuneration. And let me just repeat something which is extremely important. It's worth restating the alleged kinds are not related to Iren but to previous activities, and they don't have anything to do with Iren. So to some extent, Iren, if we can say so, is actually involved as an agreed party. And I would like to say that on behalf of the 14,000 employees and of their household, it's worth underlining that Giovanni dividend policy 2024, as mentioned, we will be more accurate as it's as usual when presenting the business plan on June 24.
 What we can anticipate is that we will guarantee a payout of about 60% of the net profit also in 2024. 
Giulio Domma: [Interpreted] Thank you very much, indeed. Oriana, again, from Kairos. 
Oriana Bastianelli: [Interpreted] Can you hear me now? 
Giulio Domma: [Interpreted] Yes, we can hear you well. 
Oriana Bastianelli: [Interpreted] Good afternoon. I would like to [indiscernible] Roberto's and Javier comments on governance in a slightly different perspective. You have a governance with a strong involvement -- the managers in appointing the executive managers of the executive members and location of investments reflects the shareholding structures. So how can the Board of Directors ensure that this company is managed in the best interest of all shareholders in line with the shareholders' agreement.
 The second question relates to the general shareholder meeting. You alluded to Chairman. So there are proxies that are moving. And I would like to know whether you can give us reassurance or indications concerning the proxies and in the field of governance as a whole. 
Luca Fabbro: [Interpreted] Thank you for your questions. You have touched upon a very important topic, the shareholders' agreement. The management of the company is not involved in laying down the shareholders' agreements and shareholders can enter into an agreement they like, they can define all the agreements they wish to lay down, the management has its job and the same goes for the Board of Directors. What do I mean by this? 
 he shareholders' agreement that I have read, we have not been molding negotiating this agreement does not lay out a breakdown or an allocation of investments. But I would like to reassure you that the business plan that we are going to present is a business plan, which doesn't have the polestar of having this kind of investment allocation. We will invest in different regions, to be very clear in our business plan. We have this significant investments. I don't want to give you any forecast in regions, which don't have anything to do with the Liguria, Piedmont or EMEA Romania. And this is evidence of the fact that there are -- the reason these shareholders' agreement, the management is independent, and we invest there were the reason and interest in investing, not where we have any other kind of consensus. 
Oriana Bastianelli: [Interpreted] Thank you for clarifying, Mr. Chairman, this is exactly what we would like to hear. Investments that are guided by hurdle rates. Iren, for sure, has a corporate mission to be present in historical territories, but it's a listed company, you are quite right. 
Luca Fabbro: [Interpreted] A classical example is Algeria in Piedmont. There, there is a twofold logic. We are going to do the closing if everything evolves positively before summer. EGEA is a classical example, if, as we think EGEA's business plan will come through, it could be a very important investment for us concerning the EBITDA and our growth.
 At the same time, how can I say, we have increased the business in one of our reference Italian regions where we are stronger than in other regions where we don't have our footprint. So there has been a use of already existing forces. What does it mean? We privileged investments there where we are stronger, where we are familiar with the local territory, but you shouldn't be led to think the shareholders' agreement should not lead us to think that we're -- we don't have an influence at all. The business plan, we will present next June, including 2 specific sectors investments of hundreds of millions of euro outside the local perimeter of the shareholders agreement. And this is evidence of what I am trying to describe to you. Your concern is understandable. But please consider what I have just told you, the business plan will be clear on that.
 Concerning the general shareholders meeting, the answer is, yes, we are working with proxies, most of all with a central player and operator who will be assisting us. I can also disclose the name. I don't think there is any issue. It's Mara Sidoli assisting us in these activities. 
Giulio Domma: [Interpreted] Thank you. The next question is from Emanuele Oggioni, Kepler Cheuvreux. Please. 
Emanuele Oggioni: [Interpreted] Yes. Thank you for your presentation. I have a couple of questions. The first one is about a clarification on the guidance and debt to EBITDA. You previously mentioned 3.3, including also EGEA and the cash out for EGEA 3.4. So I'd like to understand whether the new indicator is an improvement because it already includes EGEA or whether the guidance has not changed with regard to debt-to-EBITDA ratio. That's my first question. And then the second question is about the retail business unit, which was particularly strong and exceeded expectations in Q1. And I would like to know more about the visibility you have for 2024 in terms of growth rate for this business year year-on-year overall, for the full year 2024 as compared to 2023. If you can give us some information about that.
 And then I also have a third question concerning the waste business unit. Previously, during the call during your explanation, you mentioned that there will be a recovery in EBITDA year-on-year in the coming quarters due to the contribution made by new treatment plans, which will come into operation in the coming quarters. So I noted approximately EUR 20 million incremental. And I would like to have confirmation from you about this. 
Luca Fabbro: [Interpreted] Yes. We should point out that the 3.3, which we stated in our guidance does not include the cash out of approximately EUR 80 million to EUR 90 million for the acquisition of the participating interest in EGEA. So if -- as we hope the closing of the deal were to be finalized, let's say that the ratio could move towards 3.4. As regards to the operational part, that is to say [indiscernible] with regard to the operational profitability, let's say that we have increased our profitability, mainly by turning part of our customer portfolio into variable rate contracts.
 So from fixed variable rate, and now we basically have a markup on a single national price, and this enabled us to have a win-win situation, just to say, to have considerable increase when compared to the forecast that we made. And our policy will be to have a variable rate portfolio in the future without taking any more speculative positions on retail. This is it with regard to retail. And you should consider that we won 2 tenders for protected market customers. So we grew by approximately 340,000 customers, and we lost approximately 17,000 in the tenders. So there is a growing customer base, and then we will determine the value of it. So that's the point.
 With regard to the waste BU and the year-over-year recovery, I'll hand over to Giovanni. 
Giovanni Gazza: [Interpreted] Yes, over the coming 9 months, we expect to recover EUR 15 million to EUR 20 million. A part of this recovery, approximately EUR 6 million to EUR 8 million stem from the new plants that is to say from the -- coming into full operation of the new plants, which will not be completed in 2024, but we experienced a further contribution in 2025. So these are big plants with significant operational complexities. So that's why it takes so long for the commissioning. But in any case, we expect the waste business to grow by EUR 15 million to EUR 20 million for the full year. 
Giulio Domma: [Interpreted] The next question is from Davide Candela from Intesa Sanpaolo. 
Davide Candela: [Interpreted] Also from my side, I also have 3 questions. The first one is about the world of energy and the overall scenario. Can you please give us some ideas about your hedging approach for the part of production, which is more exposed to the market. I saw that there was a considerable slowdown in the first quarter with the spreads, which are not particularly [indiscernible] so I would like to ask about your approach and how you intend to protect yourselves from this pressure on prices and spreads. And then a second question, which is related to the scenarios where it concerns the debt.
 When we left the full year call, there was a debt which could experience changes due to the price valuations, fluctuations in this case, increasing. And so I would like to have some more information about the reason why that is more exposed and is sensitive to fluctuations in energy prices. And then there's one last question, which goes back to what Roberto was saying initially, with the debt-to-EBITDA ratio of 3.3x, I would like to you to explain the rationale for why you think that 3.3 is the right level to ensure growth for shareholders and so on or whether a lower level which ensures greater flexibility wouldn't be a better leverage to help the situation to go through pressure situations. Thank you. 
Luca Fabbro: [Interpreted] Yes, with regard to the energy scenario, when compared to the call when we presented the full year, well, we see a slight improvement for 2024. So let's say that today, our forecasts show a PUN of approximately EUR 95 per megawatt per hour. But with regard to your question, which was very specific concerning the clean spark spread, we -- basically, in the first quarter, we had to come to terms with the need to produce less energy in a situation which was not favorable.
 As you know, the market has become much more complicated, and now positive spark spreads were very concentrated at the beginning and at the end of the day. So we must produce to ensure our demand for thermal energy. And so this has penalized us with regard to the results for this quarter. Our strategy, in any case, is a hedging strategy, which will be further refined and optimized by trying to do hedging over multiple years. And therefore, we will also start working on 2025.
 For 2025, we have already done some hedging for the renewable part for approximately 1 terawatt per hour at approximately EUR 100. And we will adopt the same strategy. We are adopting the same strategy, and so that's a positive signal, also with regard to thermoelectrical production. Then with regard to the debt expansion effects, especially for working capital at year-end. Well, during the call in which we presented the 2023 financial statements, we assumed EUR 100 million.
 At that time, we had a scenario of approximately EUR 85 per megawatt per hour as energy price, whereas now we see a price of EUR 95. So let's say that the forecast is slightly lower, that is to say EUR 60 million to EUR 80 million. And this growth is attributable to this trend, which is characterizing us because in Q1, we produced more energy than is intended for our end customers. And that was also due to commercial choice, it is to say that we want to have a smaller business portfolio with respect to the counterparty risk also because of the fact that it is less flexible than placing energy on the electricity exchange.
 Then with regard to the ratio of 3.3, we think that NFI EBITDA ratio, we think that this is a sustainable level for the group at the moment, which makes it possible to appropriately remunerate shareholders -- reward shareholders and which does not impair any development opportunities that we have across all business units, and which we may take. We are very much exposed on the regulated market. The regulated market was also confirmed in its profitability by some measures passed at the beginning of the year. So we think that in this -- in the new plan as in the previous one, we will keep this debt level. But we would be very strict on this because we will not accept any kind of exceedance. 
Davide Candela: [Interpreted] May I ask a follow-up question about the debt, which is not meant to be provocative, since you are structurally long in energy production when compared to what you said to your customers as long as the situation remains unchanged, and there is no increase on the sales side, there will always be a scenario effect, which impacts the debt, whether positive or negative, depending on the scenario, but that effect is always going to be there. 
Luca Fabbro: [Interpreted] Now this is a delta. So let's say that we are analyzing deltas over stock as at the 31st of December 2023. But the [indiscernible] of being able to collect -- produce energy 7 days after it is produced when compared to payment for gas, which is paid at 120 days, well that is positive. If we sold this energy to business and customers, of course, the payment terms would be 30 days from the consumption period. So let's say that the strategy of selling energy exceeding retail -- the surplus energy on the electricity exchange is positive in absolute terms. When the scenario goes down and deteriorate, when the scenario takes an upward trend, then we would increase our revenues and incoming cash flows increase. And therefore, we would pay for gas with a longer delay. So this is a positive mechanism anyway. I realize that this is quite complicated in the explanation that I've given. 
Davide Candela: [Interpreted] Yes, it is fairly complicated. But now it's clear. Yes, your explanation was clearer. 
Giulio Domma: [Interpreted] The next question is from Francesco Sala from Banca Akros. 
Francesco Sala: [Interpreted] Two questions. I would like to understand more in detail what has happened in waste collection in Q1, whether there is any one-off element, which has pushed margins and if this improvement can also be projected throughout the year. Second question about the commercial strategy. Do you see any competitive pressures on unit margins and your variable rate contract strategy, is it under pressure because of new incumbent players on the market that are entering at different rates. 
Luca Fabbro: [Interpreted] So business collection plus EUR 10 million, as presented, they cannot be projected by 4 throughout 2024. So they contain extraordinary recoveries relating to an increase also offsetting the previous inflation. So we cannot consider this positive deviation as a structural deviation throughout 2024.
 As to the commercial strategy. Of course, as I said, we have acquired 340,000 customers from protected markets. We have lost 70,000. We have a positive balance. These are customers who are quite sticky to the supplier. They wouldn't have changed if it had not been because of regulatory provisions. Our commercial policies will have -- there will be a differential on the 340,000 versus 70,000. So the resilience -- there will be resilience to change, we ensure -- a loyal portfolio of customers who will be less likely to migrate towards another operator, we are confident commercial-wise.
 It's also true that reallocation of these bundles, the customers reshuffle so the market as a whole. So there will be new competitive dynamics, but we are ready to tackle them. We are increasing our presence in the stores. We are more present at local level. And we are confident. 
Giulio Domma: [Interpreted] A follow-up question from Roberto Letizia, Equita. 
Roberto Letizia: [Interpreted] I need to get some clarification on the dividend. I know that there is a strategic plan, but you have given an indication. I would like to have a clear picture. You will guarantee a 60% payout ratio. If we have a guidance of 270,000, we have an increase by 4% year-on-year and not a plus 10% stated in the dividend policy. You have said that the dividend policy doesn't change, which means that profit in the next few years is expected as a strongly growing. So the guidance of 60% payout implies a 10% growth. Is it the way I have to interpret that. 
Luca Fabbro: [Interpreted] Concerning the first part, Roberto, this source to give indication of a floor value. We will be more accurate when presenting the business plan. The indication is to pay out at least 60% for the next years. We cannot anticipate any assessment. We will do it with a new industrial plan, with a business plan where you will see all the economic and financial dynamics concerning net profit or level of debt with all the variable items attendant to it. 
Giulio Domma: [Interpreted] Another follow-up question from Oriana Bastianelli, Kairos. 
Oriana Bastianelli: [Interpreted] Let me just start with your last statement, Roberto. Allow me to say that we have to consider the discipline in capital allocation, which in your case, is under the lupus of the dividend is part of this capital allocation, is part of debt control. And if you repeatedly say that there is business plans of plus 8% and this continuity 10%, you need to clarify the dividend versus other investments and most of all, you should reassure the market about the harbor rate that you -- the harder rate that you consider for investments. It's not a question. Actually, it's a comment. First comment.
 Second, you were talking about the switch to variable rates for almost all customers with the spread that we are seeing for all operators. I have a systemic doubt of the spread today, all operators, not just Iren are expressing them in terms of absolute value, the BU and the single energy price is really challenging today. If you -- so is it going to be sustainable over time? And where are we in terms of customer acquisition cost. And then can you please provide an update on any progress in terms of regulation on hydro concessions and also on the gas business for the network. We have seen a potential consolidation in Italy, yet another one. And let's say, has been put on hold. So now these issues seem to have been sold. 
Giovanni Gazza: [Interpreted] This is a consideration that we have made. We are conscious of that. We will do proper allocation considering this variable for sure. As to hydro concessions, I hand over to the Chairman. Let me just answer to our retail acquisition costs, whether the policy more variable than fixed is sustainable. As mentioned, we have acquired 380,000 customers of the protected market. They are very sticky to the supplier. And we deem we will be successful with the variable rate policy, the acquisitions. We are making a role at variable right.
 The question on the sustainability. Now we consider it to be fully sustainable if an operator starts doing a damping or introduces a commercial aggressive commercial policies, we still have the same polestar, investing customers, of course, without losing value. You can invest in -- to support margins for 1 or 2 years, but we don't want to go beyond that. Otherwise, we would have a problem. We have always been rewarded by our retail policy so far switching towards variable rates is probably the right move, which allows us to move away from mere price speculation logics to focus on retail, on industrial logic. Yes, of course, efficiency logic. I do understand that we are increasing the local footprint. We want to gain more proximity. And we also want to extract more value through bundled services, including gas, electricity and also other kinds of services that we are developing. And these bundles have proved to be rewarding.
 As to Hydro, you will probably know that we have presented and submitted a project to Piedmont region, which has been approved. Our project has been approved. Now we are waiting for formalities to be completed in this tendering process, as you know. Having had the project approved gives us a lead on the other bidders, the benefit of having the right of first offer, which means that we are moderately optimistic. We have implemented a different strategy compared to other players who now have to tackle more uncertainty. So if you wish in this perspective, Iren, when it comes to hydro concessions, tackles less uncertainty than the average of other operators, thanks to the project, to this PPP that we have submitted ahead of the others with a positive outcome.
 As to the gas network, we have put on hold operation for the gas network. We are monitoring the situation. We are still in a preliminary stage. If there are business opportunities, of course, we will consider them. We are open to the possible scenarios. 
Giulio Domma: [Interpreted] Another follow-up question of Javier Suarez, Mediobanca. 
Javier Suarez Hernandez: [Interpreted] I have a follow-up question on dividend. Maybe I'm missing something here. I'm trying to understand what you are telling us about the dividend. Correct me if I am wrong. So what you are telling us is that a 60% payout is reasonable for 2024. And if this is correct, the previous commitment in the business plan, which was approved in March 2023 was for a dividend until 2025. So 10% in '24 and '25 and a payout between 50% and 60% until 2030. So that -- so this 60% applied to 2024. So everything after 2024 will be regulated by the provisions in the business plan, which has already been approved? Or are you suggesting also that it is reasonable to assume that there will be a dividend payout ratio of 60% until 2030? Can you help me understand? 
Giovanni Gazza: [Interpreted] I want to be clear on that. I do understand that we have probably not been fully clear. We have said that the dividend policy starting from 2025 until 2030 will be defined with the new business plan. We are not going to make any anticipation on that. Of course, as you have rightly underlined, we will consider proper allocation. We will consider investments and also remuneration of shareholders.
 So this is an element to consider in 2024, our floor, we are not saying that they will necessarily be a payout of 60%. Our floor is anyway 60% for 2024 with a possibility of giving also higher remunerations in line with those arising from the business plan, which has been approved. There are no more follow-up questions. I hand over to Giulio for his closing remarks. 
Giulio Domma: [Interpreted] Thank you very much indeed for your participation and for your interest, and thanks for listening to the presentation and meet you for the presentation of the next business plan.
 [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]